Operator: Good morning, everyone. And thank you for participating in today’s Conference Call to discuss MiX Telematics’ Financial Results for the Third Quarter of Fiscal 2024 and the December 31, 2023. Joining us today are MiX Telematics’ President and CEO, Stefan Joselowitz; and the company’s CFO, Paul Dell. Following their remarks, we’ll open the call for any questions you may have. I’d now like to turn the conference over to MiX Telematics Chief Financial Officer, Paul Dell, as he reads the company’s Safe Harbor statement regarding forward-looking statements. Paul, please go ahead.
Paul Dell: Thank you, and good morning, everyone. Before we continue, I’d like to remind all participants that during today’s call, we will make forward-looking statements related to our business, which are subject to material risks and uncertainty that could cause our actual results to differ materially. For discussion of the material risks and other important factors that could affect our results, please refer to those contained in our Form 10-K and other SEC filings, all of which are available on the Investor Relations section of our website. We will also be referring to certain non-GAAP financial measures. There’s a reconciliation schedule detailing these results currently available in our press release, which is located on our website and filed with the SEC. With that, I would like to turn the call over to MiX Telematics’ President and CEO, Stefan Joselowitz. Jos?
Stefan Joselowitz: Thank you, Paul, and good morning, everyone. Before turning to our third quarter performance, I would like to update you on the progress we have made towards completing our transformative business combination with Powerfleet. I am pleased to report that we have made significant headway in navigating the complex regulatory processes that govern the transaction in both the United States and South Africa. We have crossed a number of important administrative hurdles, including receiving most of the prerequisite approvals needed to proceed. One of the final hurdles is for both companies to obtain the approval of their respective shareholders, and to this end, we have set the date of the formal vote for February 28, 2024. Earlier this week, we mailed copies of the Powerfleet prospectus and our Scheme Circular to shareholders. Whilst there are no guarantees, I am confident we will receive the green light from our investors and we expect the transaction to formally close in early April. I reaffirm that we have dedicated transaction teams at both MiX and Powerfleet focused on completing the merger deal. As a result, we have managed to keep our regional leaders and business units somewhat protected from the day-to-day complexities around the transaction. That said, since the announcement of the combination, we have been hard at work laying the foundation for integration between the organizations, whilst also focusing on operational execution. We have developed a robust integration plan to ensure the transition will go smoothly and the work we have already been able to complete has exceeded my expectations. Internally, together with the Powerfleet executive team, we have communicated our go-forward operating structure and established integration work streams with well-defined objectives and appropriate executive sponsorship. So whilst deal-related distractions have not been completely avoidable, our team has remained focused and delivered a strong operational performance. In the third quarter, we had a record number of net subscriber additions, bringing our total base to well over 1.1 million. Subscription revenue, which represented 86% of total revenues, came in ahead of our expectations at $33.7 million, up 6% year-over-year in constant currency. We also maintained our strict cost-discipline practices, resulting in the continued year-over-year expansion of our adjusted EBITDA margin by 220 basis points to 24.4%. Paul will provide more detail, but increased subscriber acquisition costs, combined with a significant increase in our accounts receivable balances, resulted in disappointing free cash performance. Corrective measures have been put in place to ensure that we deliver a strong free cash flow result this coming quarter. Our Africa segment continues to be our core growth driver, generating meaningful net subscriber growth. Globally, our AI-enabled camera solution is playing a significant part in winning and acquiring a broad base of new business and we are also making sustained progress with other initiatives across all geographies. In North America, we acquired new customer logos and subscribers, successfully upsold several existing customers with expansion deals and continued to add more MiX Vision AI subscribers. Across Europe, we secured two major contracts with a combined subscriber commitment, close to 5,000 vehicles. In Australia and LatAm, we continue to see progress with both new customer acquisition and existing fleet expansion across a variety of verticals, including public transport, energy, mining, construction and agriculture. On the technology front, we delivered several new features and enhancements to support our expansion into the construction vertical. This included OEM integration into the construction equipment standard, as well as new insights and dashboards for asset utilization and fault code reporting. Our MiX Vision AI solution has been further enhanced to support additional privacy features and can now also be sold to our MiX OEM Connect customers. This means customers using our service and telematics data feeds from vehicle manufacturers such as Ford can now get the same video experience as customers using proprietary MiX in vehicle technology. Overall, I’m pleased with most elements of our operational execution as we move one step closer to completing our transformative business combination with Powerfleet. This is a very exciting time for both companies and our entire organization is eager to hit the ground running and begin executing our combined strategic growth initiatives. It is opportune to remind our MiX Telematics shareholders that the direct NASDAQ listing afforded by the proposed merger should provide significantly increased market exposure and an expanded investor base. As a large shareholder, I strongly believe that the combined leadership group and the Steve Towe’s future stewardship combined with Powerfleet’s Unity strategy and our collective scale will undoubtedly accelerate the achievement of our shared, strategic and financial goals. On the expectation that the merger proceeds as planned, this will likely be my last earnings call for MiX Telematics. I would like to take the opportunity to thank my team who helped build such an awesome business. I’m also particularly pleased that with the exception of Steve Blackhart and myself, the entire MiX leadership team will have important roles in the new Powerfleet executive structure. I want to especially thank Charles Tasker, our Chief Operating Officer; Catherine Lewis, our EVP of Technology; Gert Pretorius, who runs our Africa business; Jonathan Bates, our Head of Marketing; Brendan Horan on Special Projects; and Steve Blackhart, the most recent addition to our team who currently heads up Mergers and Acquisitions. Our relationship with almost all of these individuals predates our New York IPO in 2013 and I am extremely grateful for their support and commitment over the years. And lastly, I want to thank Paul Dell, our CFO, who will be moving into the role of Chief Accounting Officer at Powerfleet. And with that, Paul, over to you.
Paul Dell: Thanks, Jos. We will now turn to the financial results for our third fiscal quarter ended December 31, 2023. Our total revenue of $39.1 million, grew 5.8% on a constant currency basis. Subscription revenue increased 6.4% on a constant currency basis to $33.7 million, representing 86.1% of total revenue. Most of our revenues are derived from currencies other than the U.S. dollar, like the South African Rand and British Pound. The change in foreign currency exchange rates resulted in a 2.7% decline in our reported subscription revenues this quarter. We added 52,400 subscribers during the quarter, with the trailing 12-month subscriber base increasing by nearly 183,000 subscribers, primarily driven by our Africa segment. In addition to the subscription revenue growth, we were also pleased to maintain our hardware and other revenues at $5.4 million in the quarter, with strong contributions from Africa, Brazil, as well as our Middle East and Australasia segments. Our gross margin in the third quarter decreased 430 basis points to 60.1%, compared to 64.4% in the same year ago quarter, due primarily to lower subscription margins. Our subscription revenue margin decreased 510 basis points to 64.5%, compared to 69.6% in the same year ago period, and similar to last quarter, was impacted by accelerated depreciation of in-vehicle devices following the non-renewal of an energy sector customer. We expect our subscription margin to normalize in the coming quarters. Adjusted EBITDA increased 13% to $9.5 million, compared to $8.4 million in the year ago period. As a percentage of total revenue, adjusted EBITDA margin increased by 320 basis points year-over-year to 24.4%. After investing $5.7 million in capital expenditures, which included investments in in-vehicle devices of $4.2 million, we reported negative free cash flow of $4 million. We ended the quarter with $25.4 million in cash and cash equivalents. Our management team is focused on significantly reducing our accounts receivable balance, which was inflated by lower-than-expected collections in South Africa during the holiday period, as well as delayed payments from large energy customers looking to enhance their year-end cash position. Looking at our revised cash flow cost, we anticipate significant free cash will be generated as we close out the 2024 fiscal year. Now I want to provide an update on some of the details of our proposed business combination with Powerfleet. In connection with the transaction, Powerfleet and MiX have signed a commitment letter with Rand Merchant Bank, a leading South African corporate bank to provide an $85 million senior debt facility concurrent with the closing date. Powerfleet also plans to draw an additional $14 million on its current facility with Bank Hapoalim. The proceeds from the refinancing of the combined company’s balance sheet will be used to redeem in full the outstanding Powerfleet convertible preferred stock held by affiliates of every partner, as well as satisfying outstanding MiX facilities. Transaction-related expenses will be paid from the cash on the balance sheet. Given the combined company’s current source of cash generation, we have structured the transaction so that the go-forward Powerfleet balance sheet includes Israeli shekel and South African Rand-denominated debt, providing a natural FX hedge for USD-denominated investors. As Jos said earlier, we are now expecting the transaction to close in early April. The transaction close is contingent upon shareholder approval, as well as other customary closing conditions. This week, we issued our Scheme Circular and the Powerfleet perspective with instructions on the voting process, which will take place on Wednesday, February 28th. Finally, I wanted to discuss our outlook for the remainder of fiscal 2024. We continue to anticipate that both constant currency organic subscription revenue and ARR growth will be in the mid-single digits, with the full year adjusted EBITDA margin approaching the mid-20s. Overall, MiX Telematics expects to continue to maintain a disciplined approach to growth with a focus on delivering strong profitability and cash flows, while progressing towards Rule of 40 performance in the medium-term. This concludes our prepared remarks and I’ll now turn the call back over to the Operator for Q&A.
Operator: Thank you, sir. [Operator Instructions] We have our first question coming from the line of Matt Pfau from William Blair. Please go ahead.
Matt Pfau: Great. Thanks for taking my questions, guys. First, maybe it would be helpful if you could just dig in a little bit more into what’s driving the strength that you’re seeing in the Africa segment?
Stefan Joselowitz: Thanks, Matt. It is a combination of things, but I guess, the biggest contributor is customer acquisitions through various social media campaigns that we’ve become a lot more active with and we’re kind of finding a sweet spot in terms of onboarding a whole new, I guess, category of subscribers, which has been pretty effective for us. We’re also seeing a lot of traction in the light fleet sector of the market, also through a combination of online lead generation and smaller dealers kind of direct to customer.
Matt Pfau: Got it. And then on the construction vertical and your efforts there, where are you at in terms of having a viable solution to go and target that segment? Thanks.
Stefan Joselowitz: Thanks, Matt. I mean, we already have a viable solution. Of course, we’re continuing to develop it. So we have already a beachhead in that sector. Some of it came through our acquisition that we did from Trimble, I think, it was a year before last now, so it’s been getting that down. But we’ll continue to develop that service offering.
Matt Pfau: Great. Last one for me, just -- if we look at the subscriber numbers for the quarter, is the impact of that energy sector customer non-renewal already factored in there?
Stefan Joselowitz: Certainly, partly factored in. So the transition is not complete, but certainly it’s, I guess, significantly reflected in the numbers.
Matt Pfau: Okay. Great. Thanks for taking my questions. Appreciate it.
Stefan Joselowitz: Appreciate it, Matt. Thank you.
Operator: We have our next question coming from the line of Alex Sklar from Raymond James. Please go ahead.
Alex Sklar: Thanks. Jos, first one for you. It looks like the ARR per customer picked up some this quarter, despite the FX headwinds. Can you just talk about what you’re seeing that’s driving that ARPU? Is it mixed, is it any pricing actions, changing geographic exposures, any help there? Thanks.
Paul Dell: Alex, you weren’t quite clear. You said it increased this quarter?
Alex Sklar: Yeah. ARR per customer increased this quarter. I’m just seeing if there’s anything in terms of the customer mix or any change in pricing or geographic.
Paul Dell: So I don’t think it actually did increase. I think the subscribers that we’ve added have been lower ARPU subscribers. So I think most of the growth that we’ve seen in the quarter has come from asset tracking and light fleet subscribers, which have lower ARPUs than our premium fleet. So it was slightly down this quarter, actually.
Alex Sklar: All right. We can follow up offline…
Paul Dell: Sure.
Alex Sklar: …on the math that we’re doing there. Well, then switching to, Jos, just in terms of the customer base and their overall awareness to the merger and I’m specifically thinking about the premium fleet customers, have you done anything to prepare them for the deal or try and lock up any of those customers for longer term type contracts?
Stefan Joselowitz: Yeah. Certainly. We have -- other than the public announcements that we’ve made, we’ve certainly engaged with customers. Generally, the feeling is excitement. We’re already in some small instances been for new opportunities. There’s been some cases where we’ve been pitching jointly because the combination, in fact, adds more strength to a particular bid. So we’ve started taking, I guess, some kind of early advantage of that. But feedback from customers is overall excitement that is, they could see a lot more that we can provide for them by the combined offering, which, I guess, talks to that view of mine that there’s a significant cross-sell and upsell opportunity in this combination.
Alex Sklar: All right. Perfect. And then, Jos, last year, you talked about kind of broadening some of those partnership efforts that have been driving success in your Africa region, into Europe and some other markets, specifically with some of the insurance partners. Where are you in the process of kind of getting those stood up and maturing those motions in newer geos?
Stefan Joselowitz: In terms of taking the insurance relationships outside of just Africa?
Alex Sklar: Yeah.
Stefan Joselowitz: Yeah. I think we’re still at a pretty early stage of that. Our relationships in the Africa region are extremely well-established. Of course, the demographic is specific to that particular region. But certainly what we have seen in terms of a risk reduction view from insurers, we’ve had acknowledgement from more than one significant insurer in Africa that our service delivery is significantly higher than our nearest competitor, and of course, that’s helping drive demand for those services in that region and we’re seeing that as well being reflected in the subscriber growth.
Alex Sklar: Okay. Great. That’s all for me.
Stefan Joselowitz: Thank you. Appreciate it.
Operator: Thank you. At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Joselowitz for closing remarks.
Stefan Joselowitz: Thank you, Laura. I was remiss earlier on in not also thanking Brodie Von Berg, who runs our Australasian operation; and Luiz Munhoz, who heads up LatAm, for their contribution. And of course, the more than 1,000 talented and dedicated MiX employees who keep our machine running 24x7. As a reminder, we will be jointly presenting with Powerfleet at the Raymond James Conference in Orlando and the ROTH Conference in Laguna, both in March, and we certainly hope to see some of you there. Thanks again for taking the time to dial in to this earnings call and wishing you all a fantastic day.
Operator: Thank you, sir. Ladies and gentlemen, this concludes your conference call. You may disconnect your lines at this time. Thank you for your participation. Have a lovely day.